Operator:
Operator instructions:
Randall Weisenburger, Executive Vice President and Chief Financial Officer: Good morning and thank you all for taking the time to listen to our First Quarter 2006 Earnings Call. We hope everyone had a chance to review our earnings release. We have also posted to our website both the press release and a presentation covering the information that we'll present this morning. This call is also being simulcast and will be archived on our website. I have been asked to remind everyone to read the forward-looking statements and other information that's included on page one of our investor presentation and to point out that certain of the statements discussed today may constitute forward-looking statements and that these statements are present expectations and actual events or results may differ materially. With that out of the way, we will begin the call with some general remarks from John Wren, following which, we will review our financial performance for the quarter in more detail and then both John and I'll be happy to take questions.
John Wren, President, Chief Executive Officer: Good morning. Thanks for joining us. We are very pleased with the company's performance for the first quarter. Revenues for the first time in several years were actually positive across the board. That reflects both the growth of our existing clients and the impact of new business won last year. The momentum from last year is continued for the first four months of 2006 and we are making significant progress in several areas. We are making progress and we are ahead of schedule, I believe, in our efforts in areas of emerging markets such as China. Our global expansion of our PHD brand, which is our equally important media brand, is being rolled out on schedule and I believe it will provide for additional growth in the latter part of this year and next. And we continue to make significant progress in attracting the best talent in the marketplace. We are very, very pleased with our ability to continue to operate talent, market by market as we look around the world, especially in areas such as emerging markets. From our margin point of view, Randy will take you through all that in a few minutes when he takes back the call. But our performance certainly was on track with our objectives for the year which is to improve margins while continuing to make important investments both in the training and development of our people and new talent when we can acquire them. One sad note in the quarter was our colleague Ken Kaess passed away in March 2006 after a rather brave battle with cancer. Ken was one of the driving forces at DDB Worldwide over the past several years. And we will certainly miss him in that role and I will miss him certainly as a friend. In terms of transition, Bob Scarpelli has been the creative leader of DDB, has taken over the role as Chairman. This is something that he has been trained to do and looking forward to do under different circumstances for the last 20 years. And Chuck Brymer, Interbrand's -- formerly Interbrand's Chairman and Chief Executive Officer has been appointed to the role of President and CEO of DDB. They inherent from Ken one of the world's greatest agencies and we're very confident that they will continue to grow and DDB will prosper, as we go forward. 2006 is the 20th anniversary of Omnicom and our strategic priorities remain the deepening of our relationships with our existing clients and obviously new business where we can develop new clients as when the opportunity provides itself. And just on one note, Asia, certainly will figure prominently, I think, in our investment strategy this year. The performance of the team that we put out there in last April is exceptional and we look forward to a great progress in that region of the world. With that, I will turn the call over to Randy and then we will answer whatever questions you have later on.
Randall Weisenburger, Vice President, Chief Financial Officer: Thank you. As John pointed out, Q1 was a very strong, kicking the New Year off to very good start. Specifically, revenue for the quarter increased by $159.9 million to 2.56 billion, that was an increase of 6.7%. Operating income was 284.4 million, up 10.5% and operating margins were 11.1% which was about a 40 basis point increase over last year's reported results. There are two anomalies in the year-over-year comparisons that we would like to mention. The first, as you may recall, in Q1 of 2005, we recorded a gain of $6.9 million primarily related to the sale of a business in Australia, New Zealand. And the second, this year, with the adoption of 123(R), we were required to record a cumulative adjustment of $3.6 million to provide for an estimate of forfeitures on all unvested employee stock-based compensation awards, as of January 1, 2006. Since we have already been expensing stock-options for the past several years, this adjustment was fairly insignificant for us. Adjusting for both of these items, our year-over-year operating income increased 12.1% and our operating margin increased from 10.4% last year to 11% this year or about 60 basis points. Net interest expense for the quarter was 15.1 million, that was an increase of $3 million over last year. The increase was primarily the result of increases in short-term interest rates which resulted in us paying a larger supplemental interest payment or sweetener last August on our 2,032 convertible bonds. As many of you already know, at the very end of Q1, we issued $1 billion of 10 year fixed rate bonds. The bonds pay a coupon of 5.9% per annum and we will have an all end cost including the amortization of issuance costs of approximately 6.1%. Since the bonds were issued at the end of Q1, there was no incremental interest cost in Q1. We anticipate that with the proceeds of the issuance, we will fund the 2,032 convertible bond issue in August in the event that it put back to us. In the interim, we used a portion of the proceeds to accelerate at the end or at the beginning of Q2 the repurchase of 5.5 million shares or $458.7 million of our common stock. That common stock we had expect to repurchase over the balance of the year. The remaining funds are being used for general corporate purposes. On the tax front, our tax rate for the quarter was 33.8%, which is down over last year's reported rate of 35.1%. However, similar to our discussion of operating margin, last year's reported tax rate was impacted by the high book tax rate related to the sale of the business in Australia and New Zealand. And this year's rate was impacted by the accounting catch-up that I mentioned. Absent these two anomalies, our tax rates are similar year-over-year at about 33.6%. Net income increased 10.1% to 165.7 million, and diluted earnings per share increased 13.4% or $0.11 to $0.93 per share. Analyzing our revenue performance, our organic growth accelerated in the quarter to 8.7%, accounting for $207.9 million of our revenue growth. As we expected, foreign exchange had a negative impact in many of our major international markets, reducing our overall revenue growth by 2.7% or $65.3 million. FX in the quarter was a bit unusual and that the effect was split by market. For example, the European markets and the UK were very negative, while Canada and Mexico were marginally positive and Latin America; specifically, Brazil and Chile were very positive. Based on current rates, we expect Q2 to be negative again, about 1.5%, and Q3 and Q4 to be much closer to breakeven. On the acquisition front, after cycling through the impact of the divestiture we made in Q1 of last year, acquisition revenue turned positive in this quarter, adding $17.3 million to our revenue, or about 7/10ths of 1%. As for mix of business in the quarter, traditional media advertising accounted for 43.1% and marketing and services 56.9%. As per their respective growth rates, traditional media advertising grew 5.2%, while marketing and services grew 7.8%. Breaking down our marketing and service revenue a bit. CRM was approximately 34.8% of revenue, public relations 10.1%, and specialty communications 12%. As per their respective total growth rates, CRM continued to be strong and steady increasing 10%; public relations increased 1.4% in the quarter, although organic growth for PR was better at 4.3%; and specialty communications increased 7.1%. As for geographic mix of business in the quarter, the United States was 55.9% and international 44.1%. In the United States, total revenue growth for the quarter was 120.9 million or 9.2%, acquisition totaled 16.9 million of that growth or about 1.3%, and organic growth remained very strong totaling $104 million or about 7.9%. Our international revenue increased 39 million or 3.6%. Acquisitions were marginally positive in the quarter adding $400,000 to revenue. Foreign exchange was negative 65.3 million. And organic growth due to continued strong performance in Latin America and Asia now combined with significantly improved results in Germany and the UK accelerated to 9.5% adding 103.9 million to our revenue. Our primary source of available cash and so if to not be computing what we mean by available cash is not GAAP cash flow from operations; rather it's simply net income adjusted for basic non-cash charges, which for us are primarily stock-based compensation charges and their related tax benefits and then depreciation and amortization. For Q1, our available cash flow again excluding working capital changes was approximately $248.7 million. The change in the working capital was also a significant benefit to our cash flow in the quarter, although this had more to do with the year end cutoff than it did changes in the current quarter. While working capital is generally a modest source of free cash flow, as we grow, due to large swings in these numbers day-to-day and as the year end and quarter-end changes demonstrated, we believe analyzing our cash flow excluding changes in working capital is more appropriate. As for our primary uses of cash, there are four CapEx, which is generally limited to furniture and fixtures, leasehold improvements, and in basic PCs and servers, totaled $33.5 million in the quarter. Dividend payments, which are currently running at $0.25 per share per quarter, totaled 45.2 million in the quarter. Acquisitions including earn-out payments on prior acquisitions in the quarter totaled 35.4 million. In addition, we issued a short-term note in connection with one of our new acquisitions, which we expect to be paid in Q2. And finally, share repurchases in the quarter. We've repurchased 4.33 million shares for a total of about 359 million. We also received $21 million of proceeds from option exercises and stocks sold under employee stock purchase plan, bringing the net amount down to 338 million. As a result of these repurchases, we reduced our outstanding share count from 178.3 million at the end of 2005 to 174.6 million at the end of Q1. That also brought our average diluted share count for the quarter down to about 177.8 million. And with that, we will now open the call for questions.
Operator:
Operator instructions: And sir, we're unable to hear you, if your line is muted.
Q - Jason Helfstein: Sorry about that. Can you hear me now? International organic growth was quite strong in the first quarter. Randy, could you give us a breakdown, perhaps, of how much ad-related businesses drove that organic number versus marketing and services? And then I have two follow-ups. Thanks.
A - Randall Weisenburger: No. I don't have that number.
Q - Jason Helfstein: Okay. But I am assuming seem just with the overall numbers, I guess, the 5.2 -- overall ad-related business is about 5.2 and marketing and services up 7.8. Is it fair to say that trends were similar with marketing services growing faster globally or you can't say because you don't have it?
A - Randall Weisenburger: I don't have it. That would -- I think that would generally be pretty safe bet. I think what happened in the quarter with the step-up in organic growth from the last couple of quarters is basically the UK and Germany started to kick in. We had very strong organic growth in those markets. I think that was largely driven by our marketing services businesses, and I think more driven by performance than just economic improvements in those markets.
Q - Jason Helfstein: Okay. And then, just two other questions. So what's your -- basically, the 457 that you said you had bought back following the -- how many shares did that represent? I missed that.
A - Randall Weisenburger: The accelerated buyback at the beginning of Q2 related to the bond offering was 5.5 million shares.
Q - Jason Helfstein: Okay. And then, can you update us, you know, what your year-end target leverage is, as far as debt to EBITDA.
A - Randall Weisenburger: No, that's not something that we basically target. We are -- with the bond offering that we did that was not intended to add significant leverage in the -- I'll say, medium term and sort of the 12-month time frame to our balance sheet. We effectively, with that bond offering, were getting ready to refund or refinance the port of 2002 -- 2032 convertible bonds that is likely to occur at the very beginning of August or the end of July. Assuming that happens, the $1 billion we raised will basically refinance that offering and the tax payments on that offering. In the interim, we used the cash or at least part of the cash for the accelerated stock repurchase, but that's really just buying in shares that we would have likely repurchased over the balance of the year anyway.
Q - Jason Helfstein: So you just want us to look at this as a timing thing, not that you are choosing to perhaps increase the leverage profile of the company?
A - Randall Weisenburger: This is not an increase leverage transaction.
Q - Jason Helfstein: Okay. And lastly, any update on the pace of acquisitions as far as, I guess, first quarter was a little bit more than we thought, but not a huge number as far as the outlook for the pipeline for the rest of the year? And that's all I had, thanks.
A - Randall Weisenburger: Pipeline looks pretty full. We're going to close acquisitions when the timing is right. We're going to do acquisitions on an economic basis that's consistent with our past experience and consistent with the guidelines that we've set out in the past. So, they happen when they happen. We don't try to push to hit, you know, some number over one quarter just to make the numbers look good. The acquisitions have to fit into our strategy. They have to be economically on the favorable terms that we've laid out. The first quarter, I think, we closed four acquisitions. We have a number of things that are in the pipeline. I expect that we'll have more acquisitions closed than we did last year.
Q - Jason Helfstein: Okay. Thank you very much.
A - Randall Weisenburger: Thank you.
Operator: Thanks. And we have a question now from the line of Michael Nathanson with Sanford Bernstein. Please go ahead.
Q - Michael Nathanson: Hi, thanks. I have a three -- let me give you what they are. The first one is the US strength was really impressive given what Dennis Hewitt put up the other day. I wonder what's the source of this trend, is it creative, is it media, and how much is from new business? That's one. Secondly, you mentioned Germany was strong. Your targets held because of currency, but do you have any sense of what European organic growth was and the sustainability of that? And lastly, Randy, I think you've said in previous call that you expect about $100 million of net interest expense. I wonder if that's still what you expect given the refinancing?
A - Randall Weisenburger: Let's see. Let me give you some of the easy ones.
Q - Michael Nathanson: Okay.
A - Randall Weisenburger: I'll do them in reverse.
Q - Michael Nathanson: Okay.
A - Randall Weisenburger: Now interest expense for the year will increase from that $100 million target that I've laid out before. We will also, however, have reduced average share count for the year because we, basically -- in Q2, here we've got the increased leverage that will dissipate as the year goes on, because it basically accelerated the stock repurchase.
Q - Michael Nathanson: All right.
A - Randall Weisenburger: I'll go through and do some calculations, and we'll give some -- a little bit better guidance as we go as far as interest expense. But definitely with the bond offering, we will have increased interest expense. Now, going back to your other two questions…
Q - Michael Nathanson: It was -- if you can give a sense what organic was for the European continent, because Dennis Hewitt said that they just use some acceleration on the continent. I wonder what it was for you.
A - Randall Weisenburger: We definitely saw acceleration. I don't have the exact number in front of me. We saw acceleration largely driven for us in the UK and Germany, which had very strong organic growth this quarter. I believe looking at the numbers that organic growth was driven more by great performance of a few of our agencies in those markets versus just a general economic improvement, although it may well be a combination of the two of them. Most of our other markets continue to perform fairly similar to the way they did at the end of last year. Asia was very strong, led by China. Latin America was very strong across the board, but Brazil in particular. North America, the US, Mexico, Canada were all quite strong. The emerging markets of Europe were quite strong.
A - John Wren: To your first question, we don't really follow the competition's performance. We're just focusing on our own strategy. So, I think it's a reflection of the portfolio. CRM was up significantly in the US as well as on a global basis. And I think it's a combination of new business wins that we've had and there is a real correlation between, I think, what we report in expected revenue and just a general healthy performance across the board. So, I really can't do an adequate comparison between us and any of our competitors. We're just simply focused on ourselves.
Q - Michael Nathanson: Okay. Thanks.
A - John Wren: Thank you.
Operator: Thank you. And we do have a question now from the line of Lauren Fine with Merrill Lynch. Please go ahead.
Q - Lauren Fine: Great. Thank you. I just had a couple of questions. One, if the stock response nicely to what was a very good quarter and continues to stay up, what happens if the bonds aren't put back to you, what kind of decisions might you make then? And then secondly, you gave organic growth for public relations. I'm wondering if you could give us either for marketing services overall what the organic growth it was or some of the other pieces? And then finally, I joined the call a bit late, so if you did give this already I apologize, but could you talk about what the total net new business was in the quarter?
A - Randall Weisenburger: Yes. Net new business was just over $1 billion. Let's see, I'm trying to grab the organic growth number for -- I thought I gave it on the call but…
Q - Lauren Fine: You gave it for public relations, but I don't think you gave –
A - Randall Weisenburger: Yes, I broke it out specifically for that one because there have been questions in the past. Organic growth for marketing and services was 9.8%, and traditional media advertising was 7.2%. And as far as the -- what do we do if the 2032 bonds is input, we will have to answer that, I think, as we get closer.
A - John Wren: In other words from your lips to God's ears.
Q - Lauren Fine: And then I guess if I could sneak in one last one, on the margin improvement in the quarter on an underlying basis was quite good.
A - John Wren: Yes.
Q - Lauren Fine: Anything in particular that added to that? And are you still more comfortable just longer term with 20 to 30 basis points in the given year?
A - Randall Weisenburger: Yes, I think, the 20 to 30 basis points is, probably, is very good performance in this kind of an environment. We obviously are going to do as well as we can do but we've balanced out, a combination of investments and margin improvements all the time. This quarter's results were very strong, 8.7% organic growth in the improved performance, while I think, step that to 8.7% in the quarter was really the performance in the UK and Germany, which was definitely a step up. The other markets continue to perform well. The underlying -- some of the underlying numbers, we continue to have improved utilization rates on our -- I'll will say infrastructure costs, namely property utilization ramps, computer software, etc., So we're pretty happy with performance of the business.
Q - Lauren Fine: If I were able to see a geographic breakdown of margins, did you get most of the improvement overseas where you might have been surprised on the revenue strength?
A - John Wren: No. I think so. It was just a general -- it was general performance that Europe year-over-year was, I believe, up in terms of performance. But at the same time, if you – we’ve also made heavy investments in places like China and our whole engine theater in terms of placing out a full headquartered capability in those markets. We made investments because we entered into a relationship with Tsinghua University in Beijing, where we changed the name of Omnicom in China and named our business school to better develop our relationships as part of a longer-term strategic plan to improve our performance there. So, whilst the underlying business in terms of the operating performance of the individual units, I believe, improve, we did invest some of those dollars back into things, which I believe will provide us with additional growth this year, next year and the year after. So, this is just part of a very comprehensive plan to not maximize our margins, but to, what we think is to optimize them and improve them constantly or endeavor to improve them constantly as we go forward.
Q - Lauren Fine: Great. Thank you.
A - John Wren: Thank you Lauren.
Operator: Thanks and we do have a question out from the line of Troy Mastin with William Blair & Company. Please go ahead. And sir, if your line is muted, we aren't able to hear you.
Q - Troy Mastin: Yeah. Is that better?
Operator: Yes.
Q - Troy Mastin: Thanks. You just talked in the past about the mix of your business between new business and existing clients and how they driven growth. I was wondering if you can give us any color on your organic growth and how that mix played out? And you did have very strong new business wins obviously last year; can you give us some characterization of how much of that we're seeing in this first quarter of 2006? Thanks.
A - Randall Weisenburger: We really don't know Troy. We don't tie the numbers out that close; that would be virtually impossible given the huge number of client engagements that we have globally. What we've said in the past is that, you know, we expect 65% to 75% of our organic growth to come from the conversion of our net new business wins to revenue. Again, those numbers are very hard to tie up specifically but we you know, we generally think that our net new business wins over any sort of trailing fourth quarter period, 10% or 12% of that ought to turn into revenue growth over the next, sort of 12 months period. And because of the different start, start times between winning the business or announcement of a win of a business and when it gets converted into revenue, so it can, it can certainly vary. We think that ought to be generally a substantial portion of our organic growth in that 65% to 75% range. I think that those relationships are probably true now as well. They certainly seem like that's working out the way the organic growth and the way the revenues are coming in.
Q - Troy Mastin: In terms of how much of the new business wins we saw you report last year are being felt in the result of the first quarter, any qualitative or quantitative data you can give us?
A - John Wren: You know, as Randy said, if you take it quarter-by-quarter historically, and whatever reported billings are, historically although there is no science to this. We generate 10% to 12% of those reported numbers in revenue. This generally at least of a quarters delay between the time that we reported and the time we will start cycling it. So you know, business win in January will come on stream in May, business win in March will come on stream until July. But that will average out over time and then it contributes over the next four quarters, before we cycle through it. So that's generally the relationship, but we don't track it specifically.
A - Randall Weisenburger: And you know those things can vary win-by-win.
Q - Troy Mastin: Right.
A - Randall Weisenburger: Sometimes you have a win and it's you know, they want to start work extremely quickly and you get their some of the larger accounts. In particular, there is more transition time, certainly to ramp-up to the full quarterly or full monthly revenues that the win might translate into. It's -- there is not a hard science, and frankly, there is too many client engagements, to try to track it specifically.
Q - Troy Mastin: I'm really just trying to get a sense that there is additional tail win through organic growth from the strong new business, when do you have last year? It sounds like you can't really definitively say.
A - John Wren: It's, we can't, largely because we don't try to track it. What we're doing is constantly looking at our portfolio and adjusting our decisions based on what it looks like today. So, we really don't. But I think that is you know, this is our 20th year. That's a lot of quarters. That's a lot of new business wins. So, the trends, the momentum I think continues to exist. When it comes to new business, 95% of the time you have to be invited to pitch and that's in control of the prospective clients, not in our control in terms of driving it. So, it's the one area where I think you have to look at historic performance and the formula that Randy says not hard and fast, but it's our strong sense of what's, what, how much things contribute over a period of time. That doesn't mean that there can't be aberrations in a particular moment of time. But I think they are pretty fair to look at.
Q - Troy Mastin: Okay. And then one final one, if I may. Your PR division or units have been a little bit light on growth relative to the rest of the business. Can you give us some insight on if there is an industry issue or something specific to your properties that's leading to that lower growth rate? Thanks.
A - Randall Weisenburger: You know, I, you know, maybe our PR units have the problem of comparing against some of our other units. You know, I broke out this time PR's organic growth specifically, because I was, you know, these questions come up. Our PR unit this quarter had 4.3% organic growth. I think that's in line or better than our competition's PR units. And it's just marginally short of what our competition's average organic growth rates were. So, I think you know, I think the PR units are probably doing fine. They are compared, when we report numbers they are comparing against the very strong performance of our CRM businesses and our creative agencies and our media agencies that are, frankly, doing exceptionally well right now.
Q - Troy Mastin: Thank you.
A - Randall Weisenburger: Thank you.
Operator: Thanks. And we have a question in from the line of Alexia Quadrani with Bear Stearns. Please go ahead.
Q - Alexia Quadrani: Thank you. How would you characterize I guess the current new business environment? Is there a healthy pace of account movement we saw -- we've seen for the last couple of years, particularly the second half of last year continuing? And do you have some particularly net real notable wins in the third quarter of last year? Do you see any of those potential, I guess notable wins on the horizon, given what you know about what's in review?
A - John Wren: I don't have -- I do have some thoughts in terms of what we can notably win. I don't know that there are new business that they are in review right now. So, if you'll just forgive me, because some of my competition is on the line, I'll withhold that information from you.
A - Randall Weisenburger: It's also worth noting that the B&A win was an extremely large win. There are not very many wins -- there are not very many single accounts of that size that are ever available.
A - John Wren: It's -- well, yeah. And when Randy says that, it moves the needle in the company less than 0.5% point of growth. So, you have to keep in mind the diversity of our portfolio and that everything can contribute. So, it's a lot of effort throughout the world. There's a lot of focus here on what happens that would, you know, S&P companies that hit the media everyday -- you know, media in New York and major cities in the United States but the company is a worldwide company, so, there is a lot of activity going on in just about every single market around the world. And that's what ultimately contributes to our growth, not just the big names that you might pick up on because there is a lot of reporting about it domestically here. The diversity, the size of the portfolio, the fact that people are taking advantage and getting invited to pitch for new assignments from existing clients to obtain newer clients when they become available that's all, it's an ongoing processing and the list of actual wins is quite significant. It will fill up a book, in terms of, if you listed it out individually market-by-market -- unit-by-unit. So, it's an ongoing effort and as I said earlier, we can't control who puts what in review. We can try to grow our existing relationships with people we have -- who are clients -- roster clients. And that's probably where most of the new business comes from. And things like Bank of America, which is a wonderful -- have been at whatever pace that happens so.
A - Randall Weisenburger: But the -- the key for us is really the three R's and the cloud of dust. It's the day-in and day-out hard work that thousands of people are involved in all the time and it kind of moves the needle from a quarterly new business reporting number to -- that makes it skew high is periodically, you get a very large win but those happen, like that fairly irregularly. And when they happen, they happen, it's not something that you can really plan on.
Q - Alexia Quadrani: I know you don't give guidance and you're not an economist necessarily but I guess, looking out into Q2 and the rest of the year, you've got new business really kicking in from last year and continues to be healthy. Europe at least for now looks like it’s picked up a bit particularly for you guys. US looks healthy, I mean, what acquisition activities taking out anything that you stands out in your mind that would suggest that this healthy growth rate we saw in Q1 would it continue?
A - John Wren: Well, It certainly thereafter the first four months of the year and we are in very positive conversations with quite a number of clients in terms of obtaining additional assignments or in winning new business or getting new product lines that many of which are handled already by competitors. Those conversations going on constantly and so again we don't forecast, but I think if you take a look at our history, the organization is geared towards this hunting culture in terms of going out and trying to deepen the relationships we have with our existing clients. And it's not just advertising, it's certainly in marketing services and all the other services that we provide. And as I briefly mentioned, I mean, there is a few initiatives that are going on, which I can't tell you the quarter or the timeframe that it's going to kick in but arguably, given our size, and our competitors point to set all the time, we are probably the third largest in China which is a high-growth market, especially for our competitors. And there is no reason in the world that given our initiatives that 18 months from now, we won't be as strong as we are in other places. And when you look at that, it's really a glass half full story because as we get up to our proper weight class in those markets, we should be enjoying wins and growth that are coming at a greater pace than in some of the more mature markets around the world. So, I can't predict it, I wouldn't try to. But I think we are making all the right moves in terms of getting to a position where we continue to grow the company for the benefit of the shareholders and the benefit of our employees.
Q - Alexia Quadrani: And just one last question on Asia. I assume given your comments, you are somewhat in investment node over there which may be weighing on profitability. But longer term, do you see, the Asian marketplace having I guess the potential of being just as profitable as the United States?
A - John Wren: Certainly. I think that would be consistent with what others in the industry are saying as well.
Q - Alexia Quadrani: Thank you.
A - John Wren: Thank you.
Operator: Thanks then, we have a question now from the line of William Bird with Citigroup. Please go ahead.
Q - William Bird: I was wondering if you could try to quantify the Olympic impact on the quarter and also I was wondering if you could just elaborate a little bit on what you are seeing in terms of client demand for capabilities in Asia? Thanks.
A - Randall Weisenburger: I don't think the Olympics had any significant impact on the quarter. I am not sure it had really any impact on the quarter although I couldn't -- it would be small enough that would be almost impossible to identify. Your second question was what again I am sorry?
Q - William Bird: Yes, I was wondering if you could just describe what you are seeing in terms of client demand for capabilities in Asia?
A - John Wren: Certainly, there is a -- when you say Asia is a huge place so I mean it's probably -- you look at China, you look at how many major cities there are. You look at the proliferation of cell phone use in those markets, those are services that are going to develop -- telephone for instance, marketing the telephones is going to real faster in Korea and China than it is, say in the United States. So, we are gearing up to do that. Certainly, your ability to service clients in 30 plus cities in China is significant. A lot of that is local promotions. It's making certain that your message is in the right place in those cities. It is not necessarily just TV advertising. So you have a lot of outdoor, you have a lot of feet on the ground making sure that clients products are properly merchandized and moved. So, the demands change market by market in Asia and we have been gearing up and making the investments to make sure that we have the right services in the right markets to be able to service the clients that we are going after. It is a very interesting marketplace because it is not only multinationals, where we can deepen our relationships and we are making strides to do that, there are also increasing number of Chinese companies, which are going to be looking for help to market their products outside of China. And that's a huge opportunity as we move forward.
Q - William Bird: And by the way I don't know if you can quantify this, but did the revenue ramp on new business have much of the margin impact on the quarter?
A - Randall Weisenburger: I don't know if new business with just utilization, you know, the revenue growth in general, helped utilization rates.
A - John Wren: Sure. The most expensive time from a margin point of view is when you win something and you get the highest margins when you get inspired from something. It's the way it really works out. So, you're making investments, you're stepping up. You're doing things when you win an account. So, you know we don't look at the margins on a quarterly basis for those activities. We look at the relationship what it's going to yield over time.
Q - William Bird: Thank you.
A - Randall Weisenburger: And we're getting, I think we're just after 9:15 so, we'll try to do one or two more questions here. We'll take one at a time, and see how we - how fast they are.
Operator: Pretty good. Then our next question comes from line of Steven Barlow with Prudential Equity. Please go ahead.
Q - Steven Barlow: Thanks. Two quick ones, can you talk about the cost of talent with IPG potentially trying to pay more to retain people? And secondly, going back to sort of the bonds and the sweeteners and puts and things, would you -- if the bonds are not put, I guess in general, would there be any sweetener payments that you think you would have to make in 2006?
A - Randall Weisenburger: Well, let's see -- for that, I just firstly I decided I don't like the term sweetener, so we're using supplemental interest payment.
Q - Steven Barlow: Okay.
A - Randall Weisenburger: The 2033 bond -- that's a bond we want to keep outstanding depending upon where the stock price is at. We may or may not be required to make a supplemental interest payment on it. That bond is puttable in June. So, we'll hit that date sooner. Given where the stock prices at today, we would need to make a supplemental interest payment with respect to that bond. As far as the 2032 bond goes, we said before that our intent and our expectation is that bond will be put to us at the end of July and we'll take it back. Obviously, depending upon stock price etc., we'll evaluate those decisions as we go. The only way we would ever consider keeping that bond outstanding is it the financing -- the cost of financing was extremely good. But that's –
A - John Wren: Yes, that's not what we expect.
A - Randall Weisenburger: That's not -- you know right now, that's not the expectation.
A - John Wren: And your first question, I'm sorry.
Q - Steven Barlow: About talent cost?
A - John Wren: You know great talent cost what it costs and it's embedded in a system with tens of thousands of people. So, we're not seeing inflation in that area, that's out of line with what we expect to receive from the upgrades. I mean each one of our acquisitions of talent is based upon those people what we're trying to accomplish. So, I don't know what our competition is doing nor what they have to do. We pay certainly as well, if not better than the rest of the marketplace and our incentive pools are significant based upon people achieving our objectives.
Q - Steven Barlow: Thanks.
A - Randall Weisenburger: Okay. We're at not -- I think we got time for one more question. And then we'll call it before the market opens.
Operator: Great. Thank you. And we do have a question. And our last question comes from the line of Craig Huber with Lehman Brothers. Go ahead.
Q - Craig Huber: Good morning. Thank you. Just from the trenches, I was wondering if you could just comment, if you see anything significant one way or the other on how in a public assuming go head-to-head with them. That's the first question? And then secondly, is there anything like Google is doing here over the next 6 to 9 months that worries you guys, maybe you think you are not well positioned for going forward? Thank you.
A - John Wren: I think it would be, inappropriate for me to discuss the competition. You know, they are performing as they report in terms of their operations. And I think, as they want to say they're still going through some restructuring challenges. But, we need competitors and we certainly have competitors, and there are lot of quite good ones out there. So, that is as much as I'd like to say about them. In terms of Google, you know, Google's primary focus is small business advertisers, which really, are not the client base that we serve. We look at Google, I have my own personal belief that everything that looks too good to be true is always too good to be true. So, there is, they continue to grow and we are client of theirs actually on their major advertiser side. And so, we have a good working relationship with them, but I don't see any shifts fundamentally to what we do in the client base that we serve and the things that we're trying to accomplish with some of their initiatives that are going on account.
A - Randall Weisenburger: In general, we get better -- we are better off when there are more media's developing, more technology developing, because it gives our clients more opportunities to improve the efficiency and effectiveness of what they are doing. It also means more and different executions that they're trying to accomplish in the marketplace, which again generally means more work for our agencies and more opportunities for our agencies to develop services for clients. Generally, all of these things that enable marketers to better market their products and better reach consumers and in sort of a dynamic change in marketplace is positive for us.
Q - Craig Huber: Thank you.
Randall Weisenburger, Executive Vice President and Chief Financial Officer: Thank you all very much. We'll turn it off at this point. We look forward to next quarter. Talk to you soon.
Operator: Briefly thank you. And ladies and gentlemen, that does conclude our conference for today. Thanks for your participation and for using AT&T's Executive Teleconference. You may now disconnect.